Operator: Welcome, ladies and gentlemen, to the Bird Construction Fourth Quarter 2018 Financial Results Conference Call. We will begin with Mr. Ian Boyd's presentation, which will be followed by a question-and-answer session. [Operator Instructions]. As a reminder, all participants are in listen-only mode. And the conference is being recorded. [Operator Instructions]. Before commencing with the conference call, the company would like to remind those participating that certain statements, which are made express management's expectations or estimates of future performance, and thereby, constitute forward-looking statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic and competitive uncertainties and contingencies. In particular, management's formal comments and responses to any questions may include forward-looking statements. Therefore, the company cautions today's participants that such forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company's estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guarantees of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead, Mr. Boyd.
Ian Boyd: Thank you. Good morning, everyone. Thank you for participating in our fourth quarter and fiscal 2018 conference call. With me today and co-presenting is Wayne Gingrich, our CFO.  Financial results in the fourth quarter of 2018 improved from both a quarter-over-quarter and year-over-year basis. The company delivered net income of $6.4 million on construction revenue of $385.9 million compared with a net income of $2 million on $365.6 million of construction revenue respectively in 2017. Year-over-year increase in fourth quarter net income is reflective of the increase in earnings attributable to the higher margin self-perform industrial work programs in the fourth quarter of 2018 as well as a reduction in pursuit costs and a foreign exchange translation gains on US cash and equivalents held.  In contrast to the strong performance in the fourth quarter of the year, in fiscal 2018, the company recorded net loss of $1 million on construction revenue of $1.3 billion, compared with net income of $8.8 million on $1.42 billion of construction revenue in 2017. The company had a challenging fiscal 2018 due to a combination of headwinds both external and internal that have negatively impacted results.  Despite the disappointing results in fiscal 2018, we are encouraged by the improvement in financial performance in the second half of the year as well as the growth in backlog particularly for industrial projects which will provide more balance in our work program moving forward.  The company remains committed to its Build Bird strategic plan, which includes diversification of our work program. We have made significant progress in diversification as evidenced by the awards and announcements made this year. In the environmental sector, the company secured a P3 residuals treatment facility for the Capital Regional District in British Columbia announced in the first quarter. Success for their industrial process capabilities included the award several work packages at seven pump stations for Enbridge Line 3 located across Alberta, Saskatchewan and Manitoba. Leveraging our investment in Stack Modular, the company was awarded a hotel and conference centre in Iqaluit, Nunavut utilizing steel frame modular construction technology for the hotel rooms.  In the third quarter of 2018, the company announced it has executed design build finance contract for another social infrastructure P3 project, OPP Modernization Phase 2 located in nien communities throughout Ontario. In the third quarter of 2018 the company announced that it had been named first negotiations proponent as part of a joint venture for the Canadian Nuclear Laboratories’ Advanced Nuclear Materials Research Center in Chalk River, Ontario. This project along with our projects with Bruce Power, we'll continue to grow our portfolio of work in the nuclear sector.  In the fourth quarter of 2018, the company announced that the contract for the engineering procurement and construction of LNG Canada’s Cedar Valley Lodge was novated to LNG Canada’s EPC Contractor and the EPC Contractor had issued a notice to proceed. Cedar Valley Lodge will house workers for the construction of LNG Canada’s export terminal project in Kitimat, B.C. Overall, in 2018, the company secured approximately $1.5 billion of new contract awards and change orders and executed $1.3 billion of construction revenues. The net new contract awards in fiscal 2018 resulted in backlog growth to $1.3 billion for the company at December 31, 2018, an increase of almost $110 million or 9.3% from the $1.19 billion of backlog recorded at December 31, 2017. At yesterday's Board of Directors meeting, the Board declared monthly eligible dividends of $0.0325 per common share for March and April of 2019.  Wayne will now take us through the financial performance for the fiscal year and the fourth quarter, compared with the prior year.
Wayne Gingrich: Thank you, Ian. Fiscal year ended December 31, 2018, compared with fiscal year ended December 31, 2017. In the fiscal year ended December 31, 2018, the company recorded a net loss of $1 million on construction revenues of $1.38 billion compared with a net income of $8.8 million on $1.42 billion of construction revenue in 2017. Construction revenue in 2018 was $36.8 million or 2.6% lower than that recorded in 2017. While there was an increase in volume attributable to higher margin self-perform industrial work in the fourth quarter of 2018, revenue generated in the year from this work program was negatively impacted by project delays, primarily experienced in the first half, including a strike at one of the company’s mining clients in Eastern Canada.  In addition, the extension of the procurement timelines of several P3 projects in the Ontario region has resulted in lower volumes executed in our institutional work program. These factors coupled with an industrial work program that had lower backlog entering the year from a historical perspective contributed to lower volume in 2018. The company's gross profit of $57.5 million in 2018 was $13.8 million or 19.4% lower than the $71.3 million recorded in 2017. In 2018, the gross profit percentage of 4.2% was 0.8% lower than the gross profit percentage of 5% recorded in 2017.  The year-over-year reduction in both gross profit and gross profit percentage in 2018 are a result of a confluence of events experienced during the course of the year. Industrial operations including mining in Eastern Canada were negatively impacted by project delays including a labor strike at one of the company's primary mining clients in the first half of 2018. Industrial project activity ramped up through the second half of the year as delays eased and alternative work programs became available, although later than the initially anticipated.  One of the company's offices experienced execution issues on several projects that were largely design related and for which the company has recorded provisions to account for the increase in costs and taken steps to mitigate further impacts and is seeking recovery accordingly.  Income from equity accounted investments in 2018 was $1.9 million, compared with $1.8 million in 2017. Early in project lifecycles, equity investments and associates generally operate at a loss and typically generate positive equity income later in the project life cycle. Bird has a mix of equity investments and associates in varying degrees of project lifecycles in both 2017 and 2018.  In 2018, general and administrative expenses of $58.9 million or 4.3% of revenue were $0.4 million lower than the $59.3 million or 4.2% of revenue in 2017. During the year, the company spent $3 million in third-party pursuit costs which is $2.5 million lower than the amount recorded in 2017.  In 2018, the company also had a foreign exchange gain compared to a foreign exchange loss in 2017 resulting in a $2.1 million improvement year-over-year. Offsetting these positive variances was compensation expense at $4.4 million higher year-over-year primarily due to a combination of higher labor costs associated with the growing industrial work program as well as a loss recorded in the total return swap program resulting from the decline in the company’s share price in 2018.  Finance income in 2018 of $1.4 million is comparable to the $1.3 million recorded in 2017. Finance and other costs of $4.5 million in 2018 was $2.5 million higher than the $2 million reported in 2017. The increase is due to a $1.3 million change in the mark-to-market of interest rate swaps from a $0.3 million gain in 2017 to a $1 million loss in 2018. In addition, interest costs were higher associated with increased loans and borrowings and higher interest rates as well as other financing costs.  In 2018, income tax recovery was $1.7 million compared to an income tax expense of $4.2 million reported in 2017, the year-over-year decline in income taxes is primarily due to lower current income taxes associated with the net loss before income taxes in the current year.  Three months ended December 31, 2018, compared with the three months ended December 31, 2017. During the fourth quarter of 2018, the company recorded a net income of $6.4 million on construction revenue of $385.9 million compared with a net income of $2 million on $365.5 million of construction revenue respectively in 2017.  The year-over-year increase in fourth quarter net income is reflective of the improvement in earnings attributable to the higher margin self-perform industrial work programs in the fourth quarter of 2018.  The company's fourth quarter gross profit of $22.6 million was $1.7 million or 8.2% higher than the $20.9 million recorded a year ago. The increase in the amount of fourth quarter 2018 gross profit is driven by the higher quarterly construction revenues year-over-year. The company's fourth quarter 2018 gross profit percentage of 5.9% was 0.2% higher than the gross profit percentage of 5.7% recorded a year ago.  On a year-over-year comparative basis, gross profit percentage in 2018 was positively impacted by higher volumes recognized in the company's higher margin self-perform operations in its industrial work programs.  Income from equity accounted investments in the fourth quarter of 2018 was $1.5 million, compared with $0.2 million in the same period of 2017. The income in fourth quarter of 2018 was primarily driven by the margin earned from our project in Eastern Canada. In the fourth quarter of 2018, general and administrative expenses of $15.2 million or 4% of revenue were $2 million lower than the $17.2 million or 4.7% of revenue in the comparable period a year ago.  During the fourth quarter, the company had minimal third-party pursuit costs, which were $1.3 million lower than the amount recorded in 2017. In the fourth quarter of 2018, the company also had a foreign exchange gain of $0.9 million, compared to a foreign exchange loss of $0.2 million recorded in 2017. Consulting and legal fees were approximately $1 million lower year-over-year. Offsetting these positive variances was compensation expense at $1.4 million higher than the amount recorded a year ago, primarily due to a loss recorded in the total return swap program resulting from the decline in the company's share price.  Finance income of $0.5 million in the fourth quarter of 2018 is comparable to the $0.4 million recorded in the same period of 2017.  Finance and other costs of $1.9 million were $1.2 million higher than the $0.7 million reported in the fourth quarter of 2017. The increase is due to $0.6 million higher loss year-over-year on the mark-to-market of interest rate swaps, which will balance out over the life of the derivative tied to the completion of an alternative finance project.  In addition, interest costs were higher associated with increased loans and borrowings and higher interest rates, as well as other financing costs. In the fourth quarter of 2018 income tax expense was $1.2 million, compared to income tax expense of $1.7 million recorded in the fourth quarter of 2017.  I will turn the call back over to Ian to comment on the outlook for the company in fiscal 2019. 
Ian Boyd: Thanks, Wayne. In 2019, the company will continue to make investments in both people and technology as it executes on the Build Bird strategic plan with diversification of our earnings base and margin improvement being key areas of focus. Mix of revenue in 2018 differs from that of 2017 as evidenced by the increase in the industrial work program relative to institutional and commercial, with this trend, expect them to continue into 2019.  Institutional market sector contributed 53% of 2018 revenues, a decrease compared to the 66% of revenues reported in 2017. The industrial market sector contributed 30% of 2018 revenues, an increase from the 21% reported a year ago. And the retail and commercial sector contributed 17% of 2018 revenues, marginally increased from the 13% of revenue recorded in 2017.  At December 31, 2018, the company was carrying a backlog of $1.3 billion, representing an increase from the $1.19 billion carried at the end of 2017. The increase in backlog in 2018 demonstrates the success in the diversification efforts of the company with securements across a broad range of market sectors and a more balanced risk profile than had been for the last several years.  In the fourth quarter, the company was issued a notice to proceed with the construction of the Cedar Valley Lodge for LNG Canada, a design build contract for the construction of a 4500 person Workforce Accommodation facility in support of the new LNG liquefaction terminal in Kitimat, B.C. The project has now been entered into backlog providing the company with a significant large scale industrial project to execute through the course of 2019 and 2020 and establishing early involvement on the project which is expected to be the largest infrastructure investment in Canadian history.  Other significant additions to backlog in 2018 include a P3 project for a residuals treatment facility for the Capital Regional District in Victoria in which the company has taken a minority equity interest in the concession, an OPP Modernization Phase 2, an alternative finance project for Ontario Infrastructure and Lands Corporation in which the company will design, build and finance nine OPP detachments across Ontario.  The company is anticipating additional growth in backlog through 2019 with contributions from several different markets. At December 31, 2018, the company had approximately $300 million in projects that have been awarded, in which the company has been named the primary negotiating proponent that are yet to be contracted. The most significant is the Advanced Nuclear Materials Research Center, a project expected to be contracted in the third quarter of 2019 following the completion of the validation phase. Also included in this total are two institutional projects in Alberta and one for an energy client in Ontario that are expected to be contracted and entered into backlog in the first half of 2019.  In addition the company is in the preconstruction phase for over $200 million in institutional projects in British Columbia that are anticipated to proceed the construction by the third quarter of the year, although only a small fraction of the revenue will be included in backlog due to the agency nature of the construction management contract delivery model.  With respect to the P3 market and larger scale design, build opportunities, the pipeline of projects remains strong. As of December 31, 2018, the company had submitted two requests for proposals and was awaiting the results. One as a preferred subcontractor to a consortium for an LRT project in Ottawa and the other proposal as part of a consortium for the design, build finance, maintenance and operations of a water treatment facility.  The company in a preferred subcontractor arrangement to a consortium was also in active pursuit of a second LRT project that is expected to be submitted in the second quarter of 2019 and was also shortlisted for two smaller environmental projects and is awaiting requests for proposals, although timing remains uncertain.  In addition the company submitted responses for two requests for qualifications and was active in responding to one other. The award of any of these projects opportunities will primarily benefit the fourth quarter of 2019 and beyond.  The 2019 the company expects that work program that is more balanced and diversified than it has been over the last several years supporting progress towards returning to a historical levels of profitability and growth. Management expects the mobilization for the Cedar Valley Lodge to ramp up through the second quarter and as such is not expected to contribute significantly to earnings in the first quarter.  As a result, seasonality will be a factor early in the year as the company's work program builds momentum through 2019. The company expects to see an improvement in earnings attributable to its higher margin self-perform industrial work program and anticipates more broadly a double-digit year-over-year revenue growth.  Due to the combination of timing of bids and generally the smaller scale of the projects anticipated to be in active pursuit in 2019, the company expects third-party pursuit costs to return to more modest levels.  Taking into consideration the company's current backlog and the pending booking of future contracts that have been awarded, the company expects earnings in 2019 to ramp up towards the $25 million of net income level recorded in 2016.  This concludes the prepared remarks section of the conference call. I will now turn the call over to conference call operator, who will take your questions in turn.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions]. Our first question is from Yuri Lynk with Canaccord Genuity Group. Please go ahead. 
Yuri Lynk: Ian the -- obviously that the mix of industrial work increased substantially this year. Can you just give us a flavor for what that work -- the nature of that work, the location of that work and the duration? Because it's getting harder to track, as I suspect this is mostly smaller type jobs, because there hasn't been any press release of large awards that would have boosted that type of work?
Ian Boyd: Yes. Through the course of 2018, you're correct, there wouldn't be any singular project that -- in fact, I think everything was under $100 million, which is kind of the threshold we use in terms of press release size of contract. And when you look at it, probably LNG or to not LNG rather Line 3 of Enbridge was the largest collection of awards and if you included all of the work programs that we actually secured through the seven pump stations that would be roughly in the range of about $70 million to give you some sense of sort of size of a larger scale project would have had ongoing in 2018 as far as industrial goes.  So it was -- certainly that contributed to 2018. Our work with our nuclear clients and particularly Bruce Power in 2018 certainly contributed. And then we had a variety of work that was happening in Alberta. So some of our core clients, where it was more sustaining capital with our industrial process, they would have been smaller and shorter duration quick turnaround projects generally speaking. We also had some work with clients in lower B.C. on various, I'll call them industrial sites that I guess in cumulative would have contributed to our industrial. But much more broad in terms of geography and then of course you have our mining operations in Eastern Canada, which contributed more certainly in the second half of the year. In fact really our mining operations really didn't get going to any great degree until August I would say which was much later than normal course, which we would expect somewhere in May, largely due to the strike and then just generally project delay that took some time to get through actual awards to actual execution.  So that's -- it was much more diversified both in geography and client base than we have been in the past. And to your point, that was pretty significantly more than what we had even in 2017 in terms of overall revenue contribution.
Yuri Lynk: On the mining side, I think in your disclosures in November, in the outlook, you called for the ramp up of two mining contracts that I think would impact the first half of '19. I didn't see any mention of that this time around, are those contracts still ongoing and just what should we expect for mining in the first half of this year?
Ian Boyd: Yes when we were in November, we had one project that was actually ultimately cancelled and restarted and then before prior to year-end it was cancelled and then we have one project that was a little later in starting in Q4 but is now ongoing and will contribute positively for Q1. It won't be quite as obviously having the two contracts of at least some size, both of them are kind of similar in terms of size, that would have obviously been a more positive contribution to Q1.  So as it stands right now we have one of those contracts that's carried through. And then we have a variety of other things that still happen through the course of late Q4, start of Q1 that’s just I will call it more normal course seasonality work that we do with our mining group. But that typically doesn't generate a significant amount of revenue. So the answer to your question, one of the two contracts is proceeding and is working through Q1, the other one as I said we started but got cancelled, kind of in-quarter if you will. 
Yuri Lynk: Okay. So I guess, overall your guidance for '19 hasn't changed $25 million, but it sounds like it's going to be a bit more back half weighted than previously expected? 
Ian Boyd: Yes. I think so. Just from the standpoint even when you look at our Cedar Valley Lodge and just ability to be able to -- we also have some levels of seasonality it's actually been more pronounced than actually had been in the past. Part of that is driven by just the resource and energy sector meaning there just have been smaller shorter duration projects, so carrying backlog year-over-year has been more difficult to do. And so that's been part of it. Now if you look at our 2018 going into 2019 with backlog now up at Q4, I would say in the industrial side with particularly with the award of the LNG Canada project, now it's a matter when do you ramp that up. And right now we're mobilizing and so we did the design in 2016, but actually mobilizing on site is transpiring kind of as we speak. So by the time, you actually get starting get move and that will not contribute much. And so yes, you will see -- still see some seasonality. And as the industrial work program as our mining work program which inherently has seasonality to it, starts to ramp up, you will see more second half, so your characterization about it I think is accurate. 
Operator: Our next question is from Michael Tupholme with TD Securities. Please go ahead. 
Michael Tupholme: Just to pick up on the Cedar Valley Lodge, in fact you're mobilizing now. I mean clear on your commentary that you're not going to see much from that in Q1. But does that get ramped up pretty quickly in Q2, or is this more typical in terms of how the ramp up like other projects where this is sort of gradually build and we should see sort of quarter-over-quarter increases in terms of contribution from that project sort of over the first few quarters that you're active on it?
Ian Boyd: Yes. I think every project has a natural build up to it regardless, this one is a relatively quick revenue project. So if you look at that project being in the north of $500 million and our share of it being north of $300 million, then ultimately what you're seeing there is that -- and it's 24 months more or less that you’ve got to be in and out. So as you mobilize here in the first part of 2019 and really start to go, you’re still going at it naturally. So you're going to be -- you're going to have to move relatively quickly maybe more so than a normal project in its build up, especially seeing its all design is finished. So in the normal course design build, you'd have some measure of even more so delay at the front end of things that you start to get your design ahead of your construction and your ability to be able to award subcontracts. In this situation, design is done. Now it's about mobilization and then a start, it's got to be done in 24 months that certainly helps how much revenue you're going to realize, but there still is a natural build up to every project regardless.
Michael Tupholme: And can -- I think it’s probably a little bit early to get into a lot of details on this. But can you just talk about the other opportunities associated with LNG Canada. I mean you will be on site as a result of the contract that you have. When would you expect other opportunities to begin to come forward in terms of award potential and can you just talk about sort of what that might look like for Bird?
Ian Boyd: My sense of things is some of the activity has already started, meaning there's actually started -- you’re starting to see how that the EPC Contractor will come out with subsequent packages. And so there's some level of activity that’s starting out, but it's pretty much at the front end of things. But you'll see things like there will be other infrastructure buildings that are required. So we have the workforce accommodations but just generally administration facilities and you'll see whether it's some recreation facilities or other support facilities that will be required as part of that overall project.  And so we see the infrastructure buildings on that project as being another opportunity. And then we see civil opportunities as being something that we can do both concrete and earthworks. And earthworks to a certain degree maybe more in support of the buildings, maybe smaller packages, because ultimately they do have a contractor on-site doing the early works right now.  So I think that's starting to materialize. I suspect it will be Q2 or Q3 or something like that, like I don't think that these normally go with respect to be certain -- they are going to have a certain timeline of the tendering period and then you're going to have certain timeline in negotiating period. And then ultimately, there's going to be some level of award I suspect that's later in 2019, the way it will progress.  I think that for us, certainly, we're very much interested in pursuing the right opportunities for us that come as packages on this project. We have a lot of focus right now on successfully delivering the workforce accommodations. And certainly our project team is very focused on that successful delivery, which will in my experience successful delivery, if you're having success, especially early on in the project between safety and delivery and schedule and quality, more times, then you'll get additional opportunities. And so that's kind of where our focus is right now.
Michael Tupholme: So just to be clear though in terms of follow-on opportunities, you're suggesting you think you could see something in Q2, Q3 or in Bird’s case it’s probably later in the year or even beyond into 2020?
Ian Boyd: Yes, I would it’s Q3, Q4 is kind of where I am envisioning, I think Q2 is too early. And it's in infrastructure buildings, it’s kind of -- so industrial buildings that we normally do. And I would say the second part is kind of civil operations. We won’t see a lot of our -- like our industrial process group will not have a big influence on LNG Canada or opportunities and part of that’s just because the way EPC will approach this particular project and what their strengths are.
Michael Tupholme: You talked a little bit about IFRS [16] in your disclosure materials specifically quantifying the expected lease liabilities. Can you talk about how much rent expense is expected to be shifted to depreciation and interest as a result of that accounting change?
Wayne Gingrich: I think the way we looked at it is the net impact for the year isn’t really going to be that significant in terms of a net income level, but I'd say it's going to be in the $0.5 million range, where we will have higher depreciation and interest expense than we would have normally have had rent expense. So for us it's not something that impacts us in terms of changing our guidance forward. 
Michael Tupholme: But instead of sort of looking at in terms of the delta between rent expense and the incremental D&A or interest, what about just how much gets moved out of rent expense into D&A and interest? So if we're looking at for example EBITDA for the company for the year, presumably this is going to be higher as a result of this accounting change than otherwise would have been. I am just trying to get at what that sort of increase is going to amount to?
Wayne Gingrich: I would say EBITDA would be positively impacted by about $3.4 million next year on an apples-to-apples basis. 
Michael Tupholme: Okay, perfect. And then just lastly, you had a fairly large source of cash coming from changes in non-cash working capital in 2018. How do you think that looks in 2019 Wayne?
Wayne Gingrich: I think the seasonality impact that we've had the last few years whereby first half we tend to see a growth in our non-cash working capital, so cash investment in that and then in the second half of the year that releases and turns back into cash. I expect that same trend to happen in 2019. So in Q1 I would expect to invest cash back in working capital.  I think one of the things that we've done is we've added an additional credit line for the business to your committed facility that can be used for either acquisitions or to support major projects. Because one of the unknown force is as our LNG project ramps ups and we see an increase in our self-perform industrial work, typically that will -- working capital as well require cash to do that. So we'd added that extra facility just in case we needed. 
Michael Tupholme: So with Cedar Valley Lodge ramping up, do you think on a full year basis you will actually wind up investing cash in 2019 in non-cash working capital? 
Wayne Gingrich: Yes, I think that's our expectation right now, and that's what we've planned for.
Michael Tupholme: And any sense on order of magnitude? 
Wayne Gingrich: Not that we've come out with. But I could see as at the end of the year. So if on an apples-to-apples basis for 2018, if we delivered $80 million of cash from non-cash working capital, I think in Q4, it might be something less than that like in the $40 million to $50 million range. 
Operator: [Operator Instructions]. Our next question is from Maxim Sytchev with National Bank Financial. Please go ahead. 
Maxim Sytchev: A couple of questions. And I mean I know you guys kind of hate guiding typically. But should we expect positive net income for Q1, just given how the seasonality ramps up through the year?
Ian Boyd: I prefer not to give that level of precision in terms of what's happening in Q1. I think you're I -- think what we have is we just have seasonality. And it’s a little hard to figure it out kind of precision, because you're balancing out I'll call it not significant numbers at that point between positive and negative. So I don't know that it could be anything but wrong. 
Maxim Sytchev: Okay. Fair enough. In terms of -- on the LNG project that you're ramping up, are there any other potential bottlenecks in terms of securing people, materials, because, again, given the size of the project, obviously, I think the market obviously is expecting decent execution. Anything that you're seeing right now that could prevent you from reaching the typical industrial margins that you guys have been accustomed to?
Ian Boyd: I mean, it's a design, build projects and it’s of a scale and it’s of a pretty aggressive schedule for. So from that standpoint, there is a risk profile to the project naturally. But your question is more related to around the people side of it and the ability to be able to mobilize the project team that you need and presumably if you're going to self-perform -- the self-perform crews to be able to execute properly.  So my answer to that in that light is we've ramped up through the course of 2018 and been able to obviously have some level of capacity. We -- as you’re going from 2016 not having significant amount of backlog going into 2017 and opportunities being a little bit less than ideal in terms of the number of size, we’ve reshaped that group. But as we said at that time, we did not dismantle what we had built up over expertise and in fact reinvested in kind of these diversification efforts.  So, in that same light, you still have the ability to be able to take on more work naturally with the fact that we still had some capacity. And so I think that part of it is -- remains so. And then through the course of 2018, what we did was we were -- we had an ability to be able to add resources where we needed to in critical areas of the business. Some of it for diversification efforts, but related to LNG as well, so the ability to be able to add project personnel. I think we felt comfortable generally with the labor side of things, meaning I'll call it our field staff. We had feel staff availability that have done these major projects and have done workforce accommodations. They were available to be able to be on this particular project. So really what it was, was 2018 was an investment towards making sure that you're ready to go and being able to execute that project in 2019 more or less. And so I think we've been in a position to do that. So I don't see the project teams being an issue right now in terms of being able to get resources and I think from a labor side of things as far as the overall I’ll call it management of the labor, so our field staff, I don't think that's an issue.  The field level, actual I’ll call it, carpenters, laborers otherwise, that is something right now that we're probably still monitoring and making sure but you're going to draw I would think from a broad range no different thing you did if you are working in Northern Alberta on a major project. I think that B.C. is more heated. As Site C ramps up, it's just generally that economy is busy and certainly Vancouver region is busy. But I do think we will be able to achieve what we want there in terms of the overall attraction of trade people there partially, because you still haven't -- you still have whilst stronger, you don't have a heated Alberta market that you once had.
Maxim Sytchev: And then in terms of kind of design that you have seen obviously we're involved in the project from kind of the get go. You don't see anything peculiar about this particular site from an execution perspective?
Ian Boyd: No. I mean, we've been -- we pursued this project and have been associated with it for an extended period of time now. So there's certain challenges just in terms of, I would say just more different climate conditions and probably more rain than you normally deal with, I’d say than if you're doing a project in non-coastal region. So that's certainly a factor of things, but I don't think there's anything unique about that. In fact, in some respects the in and out of being able to shift some stuff in there may be easier than putting it up the highway in Alberta or something like that. So overall I think we're comfortable with it and we've been around it for a longer period of time meaning actually looking at it being on site to be able to make sure we got our bid properly prepared. So I think from that standpoint it's -- we're comfortable. 
Maxim Sytchev: Okay. And then there were some language around M&A as one of the pillars of future growth. Do you mind maybe updating us in terms of have you ramped up in terms of kind of internal capability to be able to look at certain things? Again refresh in terms of the verticals that you think are attractive right now and maybe the commentary around the potential multiples, whether it's EBIT, EBITDA book value or anything that you could share with us? 
Ian Boyd: I think that right now nothing is eminent for us on the M&A side of things I can say that. I think we're still interested in more self-perform operations. I think it's complementary whatever we're trying to do in the diversification of our industrial work program, it's still attractive to us. And I think it's more in terms of tuck-in, it's more specialized. So can we offer up a service that we’re -- that currently one of our clients who again believe that subcontracting is a higher risk activity? It there something that we can be doing that we believe is an opportunity to be able to enhance our relationships with our core clients in the industrial? And that will be self-perform driven. I would say that’s of interest to us.  I would say the other interest is still self-perform driven but maybe a little bit differently is more in the core infrastructure, and I would say not in road construction or anything of that nature, but maybe concrete structure so whether it's bridges or otherwise that's another area. We've explored a little bit to see whether or not again that's self-perform business that we can understand and get our head around, productivity and other things that we have some experience with. And does that present an opportunity given some level of activity? So I think those are the areas more focused on the self-perform. I wouldn't say there is a lot a geographic expansion necessarily that we're looking at right now. We cover most of Canada for the most part. And if we want to open up new services, new clients, we generally have done that organically. And I think that's probably how we would approach it in the future.  And with respect to just kind of what do we look at? We look at multiples of EBITDA, generally what we’ve looked at in terms of evaluating. I will say this, things that we've looked in the more recent past, probably in the last several years, it has been difficult to compete to some degree with private equity on some of these deals. And so we've determined that there is a certain value we’re prepared to pay for a business and whether that's going to be interesting enough for the party that's trying to sell it versus private equity which I think has been more I'll call it has been pricing at a more aggressive level, that's still a challenge. I don't know if that changes in the short term and on. 
Maxim Sytchev: Okay. And then in terms of kind of how you're thinking about accretion. Are there any triggers that you might share with us? Is it like EPS accretion in kind of year one or how do you think about those financial metrics? 
Ian Boyd: Well, we would look at any deal all and try to do an accretion analysis based on essentially if we had to issue all equity. So if you just use the base line, if we had those issues, all equity in order to do a deal, does it still return into an accretion, either earnings per share? I think we look at some cash metrics and those sorts of things. But ultimately, it’s can we analyze this if we were to use a 100% equity and does it still mean that you're accretive and largely I would say we look at earnings per share. And that's kind of how we look at it. Now we may ever do -- if we foresee it may never be all anything of that nature, but to try to make sure that we're looking at I'll call it the most expensive solution to make sure that ultimately it’s going to be accretive. That's kind of how we look at it to give you some sense of that. 
Maxim Sytchev: I guess, just issuing equity right now given where stock is trading is probably not something that that people would be looking for, right?
Ian Boyd: Yes. And as I said we do it only for the analysis. Not that will be our recommended solution to how you would actually fund the transaction.
Maxim Sytchev: Right, makes sense. And then sorry, if -- Wayne if you don't mind just coming back to the working -- non-cash working capital. So if we are, let's call it slight negative for the year for 2019, is that kind of how you guys are thinking about this? Because again like I wasn't sure if you were making reference to Q4 or for the entirety of 2019?
Wayne Gingrich: Yes. I can clarify. So in the first half of 2019, I would certainly expect us to be negative in non-cash working capital. And I think in the second half, we will need positive. But just depending on the timing of certain things as to whether we can get positive for the year and fourth quarter like -- if you look at the last three years in particular fourth quarter has been very strong for us in terms of converting to cash, and certainly that would happen again, whether it's enough to offset the investment that goes into these higher -- the industrial project where the higher self-perform work is yet to be seen.
Maxim Sytchev: But there's nothing sort of structurally different that you see in 2019 versus kind of the prior years to be able to generate more meaningful non-cash working capital for you to operate?
Wayne Gingrich: That's right. There's nothing structurally different. For us, it’s mix of work that we have.
Ian Boyd: I was going to say, if there’s anything structurally different is the fact that typically our industrial clients. If we ramp up in terms of industrial work typically our terms are a little bit different for our institutional projects and commercial products. So you probably at 60 day payment. And if you're actually doing more self-perform, you're paying out on day one more so than we would necessarily on an institutional commercial project, not collecting till day 90. So there is a greater use of cash. So if there's any, I don't know if you call that structural, but that's as you get your mix profile higher in industrial, our experience tell this year end, you're going to invest more in cash. 
Maxim Sytchev: Right, but I guess the offset is high margin, obviously, right, so?
Unidentified Company Representative : Hope, yes. Yes. Exactly. 
Operator: Our next question is from Frederic Bastian with Raymond James. Please go ahead. 
Frederic Bastian: Your thoughts around equity investments changed dramatically in the past, say 12 to 18 months. There's about 12 million bucks of, I guess equity account investments on your balance sheet. How do you see that evolving I guess with the activity of P3 projects that you're working on over the next couple years?
Ian Boyd: I would say that it has changed a little bit, part of it has changed by the marketplace I would say. So from an equity standpoint, I think we have seven projects right now that we've invested in equity or still have some degree of equity infusion that's required. So those will be seven active projects from that standpoint. I think that's still -- our approach to that is still really as it always has been, philosophically or strategically has been equity investment to support the core business which is design, build and design, construction. So ultimately our approach would be to recycle equity and put it into a new project.  Now, if you look at what are the new projects, we can look at two LRT projects right now that we're preferred subcontractor and therefore are not participating in equity, and that's really our choice in terms of, trying to being in a I'll call it a risk profile for a project that we think is appropriate for our level of contribution to that project. So that's not going to involve equity. And there were other projects and either marketplace driven do it right now, like for instance in British Columbia, they've gone more to a design, build for many projects versus a P3 design, build finance maintain model. And so from that standpoint if the market is going to shift a little bit, then ultimately our participation in equity.  And for us I don't think we have a big -- have a preference one way or the other from the standpoint of what our overall strategy is. So if it turns out to be larger scale build, we’ll do it. And then Ontario right now is still the DBFM or P3 and I think or alternative finance. And so we're still seeing some opportunities to be able to do that, as well as some of our environmental projects to be able to participate in equity on those sites.  So it's hard to say exactly -- I don't think our overall strategy has changed in the sense that we want to participate to support the core business. And we're going to respond accordingly to marketplace and risk is going to be big factor in terms of how we look at equity and what kind of balance we want in our program. 
Frederic Bastian: Okay. And how do we think about how that will impact income statement maybe this year and next? I mean in the fourth quarter you had a nice lift from those equity investments. I mean is there a way, can you provide some sort of guidance whether it's quantitative or qualitative as to how this line item will move this year?
Ian Boyd: Yes, I think you're picking up just on the one project that we said had a greater equity contribution? That's actually not one of our P3 projects. That's one that we record in our program as an equity -- like equity accounting it's not actually one of the projects that we have under equity in terms of the P3 work program that influenced the Q4. So it's still contributing like our P3 equity program is still contributing, they are good investments, they are good returns, stable, all those sorts of things. But I think that you're going to have kind of a run-rate that’s similar and I’m just asking Wayne question, in 2019, I don't see something drastically different. 
Wayne Gingrich: Yes, I think that's right. And further in their lifecycle over having our equity then they do flip more properly. So you will see some growth I think in the equity investment income side. And we also have the opportunity to sell one asset this year as well and close on that this year, we would have a gain on sale on it as well. 
Frederic Bastian: Alright. Thanks for that clarification. I wasn't quite sure where that came from. But how about that project then, is it -- I mean is it halfway completed, do you expect incremental contribution?
Ian Boyd: Yes, it finished in Q4. And it was essentially in our industrial work program Eastern Canada involving an indigenous partnered business. 
Frederic Bastian: Got it, okay. The other one question I have for you related to sort of opportunities for large scale projects in Northern Alberta. I know I mean the market is not great, but I recall you mentioning sort of the potential for one or two projects, maybe couple of quarters ago. What are your thoughts there?
Ian Boyd: We're still seeing -- like we're still seeing the opportunity on a couple of different fronts with that, I would say. So I think we still feel the same way. I think they are slow developing. That's probably the biggest thing. But I still think that there is -- at least the optimism is, is that they actually are still being planned. They're still being worked on. But the development of the overall in order to get to I'll call it -- so I guess to put it in engineering terms we’re working on some front end engineering design type of, on one of those projects. The other projects are still out there in terms of I will call business development activity and things happening with the owner. So the opportunity is still certainly front-centered. It's just a matter of whether it will continue to kind of slowly develop or whether there will be decision point at some point in 2019 which you'll proceed more with an actual contract to do something.
Operator: Our next question is a follow-up from Michael Tupholme with TD Securities. Please go ahead. 
Michael Tupholme: There was a mention in the MD&A that you had a mixed use residential projects in Ontario that was cancelled. I'm just wondering if you can provide some additional detail on what happened there and how much came out of backlog as a result of that cancellation?
Ian Boyd: Yes. What happened there was as we understand it, and I'm not sure that you always get necessarily the -- all of the details associated with one of these decisions with our clients. But as we understand, change in leadership with one of our clients and then the determination that they didn't want to proceed with one of the mixed use residential projects that which we were awarded. And we were working on the front end of organizing that particular project.  So it was less than $100 million, my recollection somewhere in that $75 million range and so a mixed use residential. Generally speaking from the standpoint certainly impacts revenue, I'm not sure that it impacts -- obviously impacts our backlog. Ultimately you’re not going to execute the work, it will impact -- have some degree of impact on revenue because we anticipated that would start in the early part of 2019. But it won't have a significant impact on, I'll call it margin or the generation of margin. Mixed use residential is kind of in our commercial sphere and it tends to be tougher margin, lower margin work. Now it's got a risk profile that tends to work okay and you can -- you certainly have a business case to go do it. But it tends to be a lower margin market.
Michael Tupholme: Okay. And that came out of backlog in the fourth quarter?
Ian Boyd: It did, yes. So netting out, so you see just basically 1.3 billion backlog at the end of December would have netted out that 75 million coming out of it.
Operator: There are no further questions register at this time. I will now hand the call back over to Mr. Boyd for closing remarks.
Ian Boyd: Thanks again to everyone for your participation in Bird Construction’s 2018 fourth quarter and fiscal year-end conference call. The company is committed to delivering improved shareholder value and continuing the positive momentum from the second half of 2018 into 2019. As always, we are available if additional information is required. So please do not hesitate to get in touch with us. Thanks and enjoy the rest of your day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.